Operator: Greetings and welcome to the Oshkosh Fiscal 2018 Second Quarter Results Conference Call. At this time, all participants are in a listen only mode. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Pat Davidson, Senior Vice President of Investor Relations for Oshkosh Corporation. Thank you, Mr. Davidson. You may begin
Patrick N. Davidson - Oshkosh Corp.: Good morning and thanks for joining us. Earlier today, we published our second quarter 2018 results. A copy of the release is available on our website at oshkoshcorporation.com. Today's call is being webcast and is accompanied by a slide presentation, which includes a reconciliation of GAAP to non-GAAP financial measures that we will use during this call and is also available on our website. The audio replay and slide presentation will be available on our website for approximately 12 months. Please refer now to slide 2 two of that presentation. Our remarks that follow, including answers to your questions, contain statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to be materially different from those expressed or implied by such forward looking statements. These risks include among others matters that we have described in our Form 8-K filed with the SEC this morning and other filings we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly earnings conference call, if at all. All references on this call to a quarter or a year are to our fiscal quarter or fiscal year, unless stated otherwise. Our presenters today include Wilson Jones, President and Chief Executive Officer, and Dave Sagehorn, Executive Vice President and Chief Financial Officer. Please turn to slide 3 and I'll turn it over to you, Wilson.
Wilson R. Jones - Oshkosh Corp.: Thank you, Pat. Good morning, everyone. We're pleased to announce solid results as we mark the midpoint of 2018. Sales, adjusted operating income and adjusted earnings per share all exceeded our expectations, leading to adjusted earnings per share of $1.54, which is more than double the $0.76 that we reported in the second quarter of 2017. This performance was driven by consolidated sales growth of nearly 17%. The result of double-digit percentage sales increases in our access equipment, fire & emergency and commercial segments. Order intake was also very good and we finished the quarter with increased backlogs at all non-defense segments. We continue to see positive economic conditions during the quarter giving us confidence in our positive outlook. Our financial success reflects the strength of Oshkosh and the hard work of our team members around the world. As a result of our better-than-expected performance, favorable economic conditions and positive markets for our products, I'm pleased to announce that we are raising our full-year adjusted earnings per share estimate to a range of $5.40 to $5.85. Dave will discuss the drivers of this increase in a few minutes. Now similar to many companies, we are dealing with a number of challenges as a result of the strong economy in the U.S. Attracting new team members to support our growing businesses has become more of an issue in a tight labor market. We're also seeing this indirectly in the form of higher logistics costs and availability of freight loads. We're especially seeing the impact of these items along the supply chain constraints in our access equipment segment as they ramp-up production to support significantly stronger market demand. And like many industrials, we have seen the impact of significant increases in the price of steel and other commodities over the past six months. Now we need to keep these challenges in context that come hand-in-hand with positive economic conditions and markets for our products that have been generally strong. We're not standing still watching these events transpire around us. We are proactively addressing each of them, including implementing surcharges at a number of our businesses to mitigate the impact of the significant spike in prices for steel and other commodities. Please turn to slide 4 to begin the discussion for each of our business segments. I'll start it off, as I typically do, with our access equipment segment. The access equipment team delivered a solid quarter. Demand remained robust with orders up 31% year-over-year after an exceptional first quarter for orders. Order strength in the quarter was more than we were expecting, leading to the increased sales outlook for the year. Our customers are enjoying the benefits of the strong overall market for access equipment in North America. Fleet metrics such as utilization and rental rates have improved, which has led to a strong business environment. We've commented previously that we believe equipment replacement is playing a role in the strong demand and there is certainly of that in our orders and in our backlog. Sales were up double-digit percent in all regions, evidencing the favorable market conditions globally. The strong demand experienced again in the second quarter led us to increase our full year sales outlook for this segment above our prior peak levels. We continue to ramp-up production to meet this demand. Hiring and training hundreds of new team members and putting increased requirements on our supply base led to the types of challenges I noted at the beginning of my comments and negatively impacted results in the quarter. The new team members are moving through the learning curve and we expect their productivity continue to improve in the coming quarters. However, we believe the overall fully operational efficiency in this segment will be impacted compared to our previous expectations. We are intensely focused on mitigating these headwinds for 2019. Finally, the access equipment team continues to work hard on the previously announced restructuring actions. We are complete with the manufacturing portion of the restructuring actions. The team made progress during the quarter as we continue to work through the distribution portion of these activities. Recent aftermarket warehousing and fulfillment metrics show significant improvement compared to three months ago. The process still needs to mature more and we are continuing to work with our three field partner on driving improved execution and efficiency. Please turn to slide 5 for a discussion of the defense segment. The defense team exhibited strong execution and solid results in the quarter as it continues successfully ramping up production of the JLTV, offsetting much of the volume decline of international M-ATVs. The focus on operational execution was evident in the strong operating income margin achieved without the benefit of M-ATV sales. Defense team members are getting valuable experience and really going the extra mile to efficiently build and deliver high-quality tactical wheeled vehicles for the men and women of the U.S. armed forces. We hired more than 600 new team members in the fall of 2016 to support expected growth in this segment and they have ramped up efficiently and effectively. So what's new in the quarter? Well, I'm extremely proud of our team for winning the FMTV A2 competition in February. We've been manufacturing the current FMTV A1 units since being awarded that contract in 2009. The A2 version is a performance upgrade that features improvements to a number of areas including payload, underbody protection, ride quality and safety enhancements to name just a few. We will be engineering and testing this upgraded new vehicle platform over the next several years with production volume starting to ramp up in 2021, as production of the FMTV A1 contract winds down. The A2 award is a five-year contract with two additional option years. It goes without saying that we're very excited to keep the FMTV business alongside our other programs of record, the JLTV and FHTV. These programs provide Oshkosh defense and its suppliers with sales and production visibility well into the next decade. We also continue to have a positive view regarding international demand for our vehicles. In addition to multiple opportunities to sell JLTVs internationally, there are other opportunities we are pursuing where we saw continued progress in the quarter. The timing of awards, from the Kingdom of Saudi Arabia may be delayed as the Saudi Government executes on its 2030 vision. As part of this initiative, we recently met with Saudi Arabian Military Industries or SAMI to discuss partnering opportunities for our tactical wheeled vehicles with local Saudi industry. Finally the fiscal 2018 federal budget agreement or omnibus that was signed by President Trump in late March was favorable for Oshkosh programs. Funding for our programs of record was more than $300 million higher than in the initial budget request. We expect this higher funding level to be reflected in additional sales beginning late in 2019 with the majority expected in 2020. This higher funding will help offset some of the impact of the revised timing that we now expect for some of defense's international opportunities. Let's turn to slide 6 to discuss the fire & emergency segment. The strong performance momentum we saw from the fire & emergency segment in the first quarter of 2018 continued in the second quarter, as this segment delivered significantly higher year-over-year operating income margins. Once again, improved fire & emergency results were driven primarily by Pierce. The benefits of simplifying processes, practices and ultimately everything we do continued to positively impact results in this segment in the quarter. It's more than just our assembly operations. It's a tighter discipline and way of doing business that is increasing both our profits and our customer satisfaction as we cut through inefficiencies and waste. The results have been impressive, but there are still opportunities to get better and that's exactly what the fire & emergency team is striving for. The big North American fire street (10:24) event FDIC is kicking off today in Indianapolis and our Pierce team with their best-in-class dealer organization will be well represented with its usual industry-leading products as well as new product launch that I'm not able to talk about just yet. The launch is planned for later this morning. So, the good news will be available soon and I expect the new product will receive a warm welcome from the show attendees. I'm sure Pat will be happy to discuss the details for any of you that follow-up with him after today's call. Our view of the domestic market in 2018 remains unchanged. As we expect fire truck volumes to be flat to modestly up over 2017 levels. It's a positive demand environment, especially for custom chassis units, which Pierce has built its industry-leading reputation on. Please turn to slide 7 and we'll talk about our commercial segment. Commercial segment results were in line with expectations again this quarter and show good improvement over prior year results. Commercial segment has been undergoing a transformation following the implementation of a new organizational structure that more closely aligns to product platforms. This newly aligned structure combined with simplified and 80:20 principles is allowing them to improve their business. We've talked about simplification in our fire & emergency segment and they are a little further along, but we are starting to see improved performance from the commercial group. It's not one single activity or initiative, but a whole series of actions around practices and processes. We've said it will take some time, but we are pleased with the progress the team is making. Earlier this week the refuse collection vehicle team displayed several of their industry-leading products at the Annual Waste Expo Trade Show in Las Vegas. The team was enthusiastic about traffic at the show and their ability to get a read on customer sentiment for this portion of the business. Customers continue to speak positively about their businesses and the market, which we interpret as a positive sign for refuse collection vehicle demand. The North American concrete mixer market is continuing to show signs of improving. We haven't yet seen the kind of sustained strength that we would normally expect; demand in some areas is good as a result of construction projects and housing expansion, while customers in other areas are aging fleets longer, as residential construction growth remains modest due to lack of buildable lots and lack of labor. Overall, fleet ages remain historically very high, and our outlook for this market remains positive. That wraps it up for our four business segments. I'm going to turn it over to Dave to discuss our financials and updated outlook for 2018 in greater detail.
David M. Sagehorn - Oshkosh Corp.: Thanks, Wilson, and good morning everyone. Please turn to slide 8. Consolidated net sales for the quarter were $1.89 billion, up 16.6% from the prior-year quarter. Sales were up double-digit percent in all non-defense segments led by a 28% increase in access equipment segment sales. Defense segment sales were down slightly, as expected, with higher JLTV sales largely offsetting the absence of international M-ATV sales. Deliveries on the large international M-ATV contract were completed in the first quarter of the year. Adjusted consolidated operating income for the second quarter was $162.9 million or 8.6% of sales compared to $97.6 million or 6% of sales in the prior-year quarter. All non-defense segments delivered higher adjusted operating income and operating income margins and the defense segment achieved higher operating income margin on lower sales. Improved results in the access equipment segment benefited from the higher sales volume, the recognition of deferred margin and price realization. Incremental margin for the quarter showed a significant improvement compared to the first quarter, but was constrained by challenges associated with the ongoing production ramp. Access equipment segment adjusted results for the quarter exclude $5.2 million of charges and inefficiencies associated with previously announced restructuring actions. We are increasing the estimated total costs to execute these restructuring actions by $5 million compared to our prior estimates. As Wilson noted, the segment has recently seen a significant improvement in performance in its Atlanta aftermarket facility metrics, but they are incurring more costs than we expected to achieve the targeted performance. The defense segment overcame an adverse mix without international M-ATVs to deliver higher operating income margin for the quarter compared to the prior year, due to improved manufacturing performance. Fire & emergency segment results stood out both for the 13.2% operating income margins in the quarter and for the 400 basis point improvement in operating income margin compared to the prior-year quarter. Improved pricing and improved manufacturing performance partially offset by higher SG&A expenses drove the significant improvement in margins in this segment. We're very pleased with the fire & emergency segment's second quarter results. The commercial segment also delivered stronger results this quarter compared to the prior year. As you may recall, last year this segment was dealing with production challenges, driven largely by the timing of orders coming later than normal, which necessitated a much steeper and less efficient-than-normal seasonal production ramp. The seasonal order pattern this year reverted to what we have typically experienced allowing for a more controlled production ramp and higher sales volume in the quarter. A higher percentage of RCV sales and lower warranty costs also contributed to the improved results in this segment. Commercial segment adjusted results for the quarter exclude $1.8 million of restructuring charges related to implementation of previously-announced restructuring initiatives. Costs for these initiatives remain on track with previous estimates. Further information on segment second quarter results including information on segment backlog, which is up compared to the prior year in all non-defense segments, can be found in the appendix to the slide deck. Below the operating income line, interest income was $7.1 million higher than the prior-year quarter, due largely to receipt of interest from a customer that had been on non-accrual status. The adjusted tax rate for the quarter was 24.6% and this rate reflects the recent tax reform changes. Adjusted earnings per share for the quarter was $1.54 compared to $0.76 in the second quarter of 2017. Improved segment results drove the vast majority of the higher adjusted earnings per share, higher interest income and the lower tax rate contributed $0.06 and $0.15 respectively of the higher earnings per share. Second quarter 2018 and 2017 adjusted results exclude $0.05 and $0.18 per share of after tax impact from restructuring related costs respectively in the access equipment segment. In the second quarter 2018 adjusted results also exclude a $0.02 per share after tax impact for restructuring related costs in the commercial segment. We repurchased 839,000 shares of our common stock during the quarter and that brings our year-to-date total repurchases to a total of 1.587 million shares. Subsequent to the end of the quarter we refinanced our credit agreement replacing it with a new five year unsecured credit facility. The size of the revolver and term loan are similar to the prior credit agreement and the pricing spread versus LIBOR is slightly more favorable than the prior agreement. Please turn to slide 9 for a review of our updated expectations. Our updated expectations reflect a combination of our solid second quarter results and improved access equipment sales outlook along with the expected impact of the challenges Wilson outlined earlier. We've implemented steel and aluminum surcharges in many of our non-defense businesses to address the dramatic increase in the cost of these items over the last six months. We expect to see the impact of the higher costs begin to flow through the income statement starting late in the third quarter and into the fourth quarter. Due to the extensive backlogs in a number of our businesses at the time we implemented the surcharges and the fact that orders in the backlog at that time are not subject to the surcharges, we only expect to partially offset the impact of the higher input costs in this fiscal year and have factored this into our updated outlook. We are increasing our consolidated estimated sales range by $300 million to range of $7.4 billion to $7.6 billion to reflect the higher sales expectations in the access equipment segment. We are also increasing our adjusted operating income estimate range from $550 million to $600 million to a range of $575 million to $625 million. And we are increasing our adjusted earnings per share estimate range by $0.40 to a range of $5.40 to $5.85. We lowered the share count assumption from 76 million shares to 75.5 million shares to reflect share repurchases made in the second quarter. At the segment level, we're making the following changes. We are increasing the access equipment sales estimate range by $300 million to a range of $3.6 billion to $3.7 billion, reflecting the continued strong order demand experienced in the second quarter. We're lowering the adjusted operating income margin estimate range to 10% to 10.5%. The decrease from the prior estimate range is driven by a combination of items, including the challenges related to the ramp-up in production to meet the higher demand and to a lesser extent higher freight costs. Additionally, the mix of stronger orders in the second quarter was more heavily weighted to the national rental companies, which adversely impacts our mix assumptions for the year compared to our prior expectations. And we also expect higher net material costs as the recently announced steel surcharges won't apply to the majority of the backlog for the second half of the year. We are increasing the defense segment operating income margin estimate range by 100 basis points to a range of 10.75% to 11%, reflecting the strong second quarter performance and benefit from redirecting some of the engineering effort to the new FMTV A2 contract, which we'll be able to recognize revenue line. We do not expect to experience much impact in this segment from the higher market prices for steel and other commodities due to contracting practices with our suppliers. We are also increasing the fire & emergency segment operating income margin estimate range by 100 basis points in the low end and 75 basis points in the high end to a range of 11.75% to 12%. We expect the strong second quarter results to continue into the upcoming quarters, more than offsetting the impact of higher steel and aluminum costs that we expect to see later this year. And we are not changing the outlook for the commercial segment. For our third quarter, we expect higher sales compared to the third quarter of 2017, led by the access equipment segment. And we expect higher adjusted earnings per share with a lower tax rate as a result of tax reform in the U.S. being the biggest driver. I'll turn it back over to Wilson now for some closing comments.
Wilson R. Jones - Oshkosh Corp.: Thanks, Dave. As you just heard, we delivered solid results for the second quarter and we are raising our full year outlook. The outlook for our markets is favorable and we are actively addressing the operational inflationary challenges we are currently experiencing. I'll turn it back over to Pat to get the Q&A started.
Patrick N. Davidson - Oshkosh Corp.: Thanks, Wilson. I'd like to remind everybody, please limit your questions to one plus a follow-up. After the follow-up, we ask that you get back in queue, if you'd like to ask an additional question. Operator, please begin the question-and-answer period of this call.
Operator: Thank you. Our first question comes from the line of Jerry Revich with Goldman Sachs. Please proceed with your question.
Ben Burud - Goldman Sachs & Co. LLC: Good morning, everyone. This is Ben Burud on for Jerry.
David M. Sagehorn - Oshkosh Corp.: Hi, Ben.
Wilson R. Jones - Oshkosh Corp.: Good morning, Ben.
Ben Burud - Goldman Sachs & Co. LLC: Good morning. Just wanted to touch on the labor market, it sounds like it's been a little bit of a headwind for the business as you guys ramp. Can you just maybe give some more color on the magnitude of the impact, where do you see it going over the balance of the year and if you'll need to add any more head count?
Wilson R. Jones - Oshkosh Corp.: I think access to labor, Ben, is a common discussion today with all industrials, these is a very tight labor market out there. And what we saw the first half of our year is a market that jumps pretty fast, faster than we expected, and as we have been gearing up and hiring team members, there's a little bit of a dynamic going on that the team members that are available today in this tight market, in most cases, it's our first time in a manufacturing environment. So it's requiring a lot more training, a lot more supervision. If we compare to some of the previous ramps that we've gone through in the past, it's just taking it longer to get through the learning curve. They are good team members. They are going to be really good team members as we go forward, but their efficiencies are coming a little later in the process. And so, we see that now from an access standpoint starting to get some cadence and get some rhythm, we believe by through the end of this year, we'll be passed these operational issues and be ready for 2019 to run and we don't anticipate the significant hiring ramp in 2019 as we have in 2018. If you look at the other segments, I would say there is always a tight labor markets that we're working through, but most of them haven't gone through a large market increase like JLG has. So, a little smoother work going on, you see the results of defense and fire, and now commercial getting back on track. I would say their labor environment is much better than what we're going through at in access. But again, we see good progress. And by the end of this year, we should be passed the majority of these operational issues.
Ben Burud - Goldman Sachs & Co. LLC: Got it. And then turning to F&E, can you – obviously, you guys are speaking about strong volumes the balance of the year. Can you kind of give us an idea of how pricing is shaping up? And can you maybe give any color on if there is maybe some additional upside to margin performance in that business?
David M. Sagehorn - Oshkosh Corp.: Yeah. Ben, on pricing overall in fire & emergency, we take a pretty disciplined approach around annual price increases. We have benefited from those. And I think you'll continue to see that be a benefit year-over-year just based on the cadence of those annual price increases. Overall, in terms of the outlook for the remainder of the year, I think we're going to see a good balance certainly of domestic sales there. International is typically a little lumpy. We saw a little lower international sales in the first half of the year. That segment I think we'll see a little bit of a step up in the second half, but overall what you're going to see in terms of the results here is going to be largely driven by North America.
Ben Burud - Goldman Sachs & Co. LLC: Thank you.
David M. Sagehorn - Oshkosh Corp.: Thank you.
Wilson R. Jones - Oshkosh Corp.: Thank you, Ben.
Operator: Thank you. Our next question comes from the line of Tim Thein with Citigroup. Please proceed with your question.
Tim W. Thein - Citigroup Global Markets, Inc.: Thank you. Good morning. I'll start with a cash flow question for Dave. Maybe you could just provide some color on the jump in AR days in the quarter and I'm just wondering if that's do it all with the timing and deliveries or some extension in terms related to the surcharge and just thinking what's behind that basically and that's the implications for potentially a release of working capital into 2019?
David M. Sagehorn - Oshkosh Corp.: Sure. The – two real drivers there, Tim. One in defense, as you recall we did complete deliveries of the M-ATVs under the international contract in Q1 just with the payment cadence there. We still have the receivable on the books at the end of March, and then second with the significant jump in access equipment segment sales. Some of that's just due to the typical timing throughout the quarter of your AR balances. So, nothing abnormal there, it's just related really to the volume jump.
Tim W. Thein - Citigroup Global Markets, Inc.: Okay. And Dave just on that – the hold back related to the JLTV. I forget the initials there, but I think it was like a $50 million investment in 2018? Any update there in terms of the receipt on that and just for – again for 2019?
David M. Sagehorn - Oshkosh Corp.: I'm sorry, I'm...
Tim W. Thein - Citigroup Global Markets, Inc.: Yeah. There was – I think there was some investment where you had to pass the test. I forget it was like – I forget the initial, but it was like a $50 million investment from memory and I'm just and I thought you were expecting...
David M. Sagehorn - Oshkosh Corp.: Yes, I know what you're referencing now, Tim, I'm going to have to get back to you on that one, refresh my memory a little bit.
Tim W. Thein - Citigroup Global Markets, Inc.: Yeah. Okay. Okay. Maybe well. Yeah go ahead, sorry.
David M. Sagehorn - Oshkosh Corp.: I think it's coming back. I think that's something that's going to be spread out over a longer period of time, I don't think it's going to be one thing that is going to come in all at one point in time.
Tim W. Thein - Citigroup Global Markets, Inc.: Okay. Okay. And then Wilson other – in recent days some of other big defense contractors have talked about working more closely with Saudi and I'm just curious in the case of Oshkosh, what do you think potentially comes out of these discussions in terms of a sales opportunity and ultimately what structure do you think comes out of this in terms of a joint venture or some kind of in-country relationship, maybe just some more words on the Saudi opportunity.
Wilson R. Jones - Oshkosh Corp.: Sure, Tim. You know it is an opportunity, a potential opportunity that we're discussing with them, tactical wheeled vehicles. There's a large need right now in the Middle East for our products. They meet the mission profile. So we're always interested in expanding and obviously get the opportunity to get closer to a customer and working there, I won't speculate too much on really what type of arrangement will be. We've started discussions, again in due course in general in the Middle East are not mechanized. So tremendous opportunities there and with the Saudi Arabia movement here, they're very interested in getting more investment into the country, divesting themselves of their reliance on oil and gas. So, we've had good discussions and we plan on continuing those discussions at this point.
Tim W. Thein - Citigroup Global Markets, Inc.: All right. I'll pass it on. Thank you.
Operator: Thank you. Our next question comes from the line of Mike Shlisky with Seaport Global Securities. Please proceed with your question.
Michael David Shlisky - Seaport Global Securities LLC: Good morning, guys.
Wilson R. Jones - Oshkosh Corp.: Hi, Mike.
Michael David Shlisky - Seaport Global Securities LLC: So, I wanted to maybe get some more questions on defense margins out there. I was wondering if you could give some more color as to what's going on there and how you can take up the outlook for the margins for the year? Is it just ongoing improvements in the factory? And if you try to back out the M-ATV perhaps the sort of the base business margin is also about 10%. Is that the right kind of run rate to think of beyond 2018 assuming no big contracts like the FMTV in 2021, et cetera?
David M. Sagehorn - Oshkosh Corp.: Sure. Mike, I think one of the big drivers that we're seeing in fiscal 2018 here really relates to what happened over the last year-and-a-half. So the defense team brought on about 600 new team members and as they ramped up the volume coming out of the downturn, and I think what you're seeing now really is that team really getting up to speed and hitting their rhythm. I think the defense team has done a really good job overall of onboarding and bringing that group up from an efficiency standpoint and they are reaping the benefits from that now from a margin standpoint. And then just also as we called out in the prepared remarks in terms of some of the engineering spend is going to be redirected a little bit to the FMTV contract and just the method of accounting there, percentage of completion, those costs now get revenue associated with them whereas if it was on projects that were not covered as part of an existing contract those would be recognized as expense. So those are the two drivers really, which are allowing us to take up margins for fiscal 2018 in that segment. In terms of margin run rate, I think we'll still stick with what we've said previously, high-single digit margins is our outlook. We'll certainly try to do better than that, but I would say for now, we're going to stick with that kind of outlook in overall guidance.
Michael David Shlisky - Seaport Global Securities LLC: Okay. I also wanted to just ask secondly kind of maybe taking a step back. The broader steel surcharge that you've been seeing and you've been trying to implement, just isolating that cost question, have your customers largely been okay with these surcharges, have they accepted them, has there been a lot of pushback? Can you give us your thoughts as to whether the full surcharge will actually end up sticking as we go through the year here?
Wilson R. Jones - Oshkosh Corp.: Sure, Mike. Obviously customers don't like surcharges, but I think in this case, the inflationary issues are very public, everyone knows steel has jumped close to 40%, aluminum is coming up 25%, 30%, freight has increased 20%. So, I think they all understand that and I think more important, they understand that we can't cover those significant inflationary issues internally. So, we're sharing that with them, orders that we've been receiving that would be delivered after May 1, all have the surcharge. So we're being disciplined, the access team is very disciplined, every customer is receiving that surcharge, there is no exceptions and we're going to work through this and then that will certainly lead us to our pricing analysis for 2019. And when you take a step back and just look at what's going on with these inflationary issues, we're probably looking in the fall at one of the more significant price increases that we've had in the past that cover us for 2019.
Michael David Shlisky - Seaport Global Securities LLC: Okay. Thanks very much. I'll pass it along.
Wilson R. Jones - Oshkosh Corp.: Thanks, Mike.
David M. Sagehorn - Oshkosh Corp.: Thanks, Mike.
Operator: Thank you. Our next question comes from the line of Jamie Cook with Credit Suisse. Please proceed with your question.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Hi. Good morning, a nice quarter, I guess sorry back to the access side again, obviously very good problems to have. But can you just give a little more color on the supplier constraints, was it public suppliers, private suppliers and how long you think this issue continues and then I guess as I'm just thinking longer term, how do you think about as we exit 2018 the ability to generate more normalized incremental margins for the access equipment business or is there anything structurally different this cycle that would prevent you from getting back to sort of prior peak margins, which were more in 14% range or so over the long-term? Thanks.
Wilson R. Jones - Oshkosh Corp.: Okay. Good morning, Jamie, I'll take your supplier issue question and I'll let Dave talk a little bit about incrementals. I think private, public, all suppliers are going through the same dynamic we are in terms of tight labor markets. So we're seeing as they ramp up, they're going through similar issues in inefficiencies, quality et cetera, our supplier quality and supplier development teams are well engaged, and we believe we're going to be having to a point where we will have minimal impact by the end of this year. We've put that into our forecast. But for the most part we've seen cases where at times JLG lines are down for a day or two because of supplier issues. We're getting past the majority of that now and things are starting to smooth out. But we are anticipating some more issues through the back half of this year with the impact getting less as we go. Again, as they get their teams trained and better equipped just like we're doing with our ramp up at JLG. So it has been an issue, but we feel good about the progress and the relationships we have with our suppliers going forward.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: And sorry, just before Dave answers the incremental margin question, are the supplier labor issues, everything you're talking about, does that somewhat limit your ability to raise revenue for fiscal 2018, because I think too people were surprised United Rentals didn't raise their CapEx, which I'm not asking you to comment on them, but they're a proxy for the industry. So I'm wondering if this is limiting revenue upside, which that could potentially I guess be a positive for 2019 too, but I'm just wondering how significant this is? Sorry.
Wilson R. Jones - Oshkosh Corp.: Well, it doesn't limit to our current guidance, Jamie.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Okay.
Wilson R. Jones - Oshkosh Corp.: From an upside standpoint though, obviously when we get our cadence back to where we know we will in North America, those efficiency targets are there. We'll definitely be able to improve our plant capacity, which would support some potential upside if it's there.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Okay. Sorry and thanks. Dave on the incrementals longer term?
David M. Sagehorn - Oshkosh Corp.: Sure. Yeah. Jamie, if you go back to 2014 and what may have changed, really three things are going to drive our ability to get back to peak margins in that segment. Pricing is one, material cost is the other and mix, those are the big three. And if you look at pricing, when the energy downturn and the replacement downturn hit in 2015, pricing was tough 2015 through 2017. We talked about that, others have I think talked about that as well. So, we're in a place where we need to claw back some of that. We are doing that through the price increase implemented earlier this year, as well as the surcharges and Wilson commented already on already starting to think about price increases for 2019. From a material cost standpoint, we're certainly dealing with some issues now that we were not dealing with in 2014 in terms of material costs. We'll have to see how that plays out. But that's where pricing comes back into that equation as well. Then mix; mix is going to be a little dynamic over time and that's going to really depend on what our rental company customers are seeing in their markets in terms of demand. But overall, those are the three things that we look at. We do believe we have the opportunity to get back to prior peak margins over time.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Okay. Thank you very much.
David M. Sagehorn - Oshkosh Corp.: Thanks, Jamie.
Wilson R. Jones - Oshkosh Corp.: Thank you, Jamie.
Operator: Thank you. Our next question comes from the line of Courtney Yakavonis with Morgan Stanley. Please proceed with your question.
Courtney Yakavonis - Morgan Stanley & Co. LLC: Thanks, guys. Just wanted to dig into the customer mix a little bit. I think last quarter you talked about expecting independents to be showing up more in the back half of this year, but I think you made a comment that the national players are still overwhelming the orders at this point. So, just wanted to get a sense that there is more, you know national guys are reordering or are the independents not showing up, just want to get some more color there?
David M. Sagehorn - Oshkosh Corp.: Sure. Actually if we look at the second quarter, the independents were quite a bit stronger than I think we expected as we entered the quarter, margin should have reflected that, but to the comments we made about the challenges with the ramp, those challenges kind of overcame the benefits that we would have saw in the quarter from a customer mix. As we looked at the orders coming in, in the second quarter and they were stronger than we anticipated, especially after the strong first quarter of orders. There was a little heavier mix of NRC. So that's what's causing us to change our outlook for the full year in terms of customer mix versus three months ago.
Wilson R. Jones - Oshkosh Corp.: I think just to add to that Courtney and this has been we've seen this in the past. The NRCs usually move a little earlier with fleet replacement than the IRCs and I think that's a little bit of story going on right now.
Courtney Yakavonis - Morgan Stanley & Co. LLC: And just want be – also be clear, the surcharge applying to deliveries after May 1, so how much of the backlog right now will have the surcharge applied to it?
David M. Sagehorn - Oshkosh Corp.: So we had a big backlog coming into the time of when we announced the surcharge. So there is a significant portion of the backlog for the remainder of fiscal 2018 that will not be subject to the surcharge. But orders taken after the surcharges were implemented for delivery after May 1 are subject to and do include the surcharges.
Wilson R. Jones - Oshkosh Corp.: And that's all in our guidance, right.
Courtney Yakavonis - Morgan Stanley & Co. LLC: Okay, got you. And then just lastly on the margin for access 75 bps lower, can you guys just aggregate how much of that is from the new team members that you're hiring, that's a headwind versus material cost inflation versus the logistics cost and availability of freight...?
David M. Sagehorn - Oshkosh Corp.: Sure. I'll bucket it this way. In terms of the production costs and that's inclusive of the ramping up of the new team members and overhead spend, supplier constraints that by far is the largest piece of what we're talking about, freight is going to be a lesser number than that. And then when you get into the NRC mix and the material exposure that we have yet this fiscal year, those are three and four in terms of order of magnitudes or ordering. So, by far it's the challenges with the ramp itself and those are things that are within our control and as Wilson noted, we're already starting to see some positive improvement there. And we think we're going to be in a good position as we enter 2019 to not see those repeat again next year.
Courtney Yakavonis - Morgan Stanley & Co. LLC: Okay, great. Thank you.
Wilson R. Jones - Oshkosh Corp.: Thanks, Courtney.
David M. Sagehorn - Oshkosh Corp.: Thanks.
Operator: Thank you. Our next question comes from the line of Stephen Volkmann with Jefferies. Please proceed with your question.
Stephen Edward Volkmann - Jefferies LLC: Great. Good morning, guys. Just a real quick follow-up to that discussion Dave, do you think there was some preordering ahead of when these price – not price increases, surcharges sort of took effect, is that one of the reasons we saw kind of better order activity in this quarter?
David M. Sagehorn - Oshkosh Corp.: I really don't think so, Steve, I'm not aware of customers saying, hey, we're placing orders to get in ahead because we can – we're anticipating steel surcharges or tariffs to be put in place. Orders were strong throughout the quarter, I think it's just a reflection of strong rental environment out there, good business conditions for the rental companies and there's a lot of pent up demand for replacement and I think we're seeing the benefits of that now.
Wilson R. Jones - Oshkosh Corp.: And we announced in March...
David M. Sagehorn - Oshkosh Corp.: Yeah.
Wilson R. Jones - Oshkosh Corp.: ...you look at the quarter and the cadence of orders, it wouldn't lead you to believe Steve that all of a sudden someone woke up and just started dumping order into our system.
Stephen Edward Volkmann - Jefferies LLC: Great, okay, that's good to hear. And then, Dave, I think you mentioned there was some sort of deferred margin in access, did I hear that right and did you put a number around that?
David M. Sagehorn - Oshkosh Corp.: The Q will have a number, but it was about $8 million.
Stephen Edward Volkmann - Jefferies LLC: Okay, good. And then just back on F&E and I'll pass it along, Wilson, I mean it seems like you guys are kind of above what you thought your margin opportunity was in F&E and yet it sounds like things continue to be quite strong there. I suppose the second half is going to be a little lower than the run rate in the second quarter just to make the math work. But I'm just curious if you think these levels are sort of sustainable, or how we should think about that going forward?
Wilson R. Jones - Oshkosh Corp.: Well, I think what we conditioned them coming into this year, Steve, is that we didn't see the segment making the big jumps that they made the previous year. But they have been steady and congratulations to that team, they've worked hard over last several years to really transform internally and better manage their business and they're doing a good job of that as you see. Going forward I think what I would say is we're about at the run rate that, you see our guidance that's what we see the rest of the year. I don't think we're seeing any kind of anomaly there, Dave, as far as their margins and any potential large upside that we're juggling as far as the rest of the year goes.
David M. Sagehorn - Oshkosh Corp.: Yeah, the margin profile in the second half isn't that much different from the first half from what I recollect and if there is some difference there, it's probably just something within the mix.
Wilson R. Jones - Oshkosh Corp.: The mix, yeah.
Stephen Edward Volkmann - Jefferies LLC: Okay, fair enough.
Wilson R. Jones - Oshkosh Corp.: Thank you.
David M. Sagehorn - Oshkosh Corp.: Thanks, Steve.
Operator: Thank you. Our next question comes from the line of Mig Dobre with Robert W. Baird & Company. Please proceed with your questions.
Mircea Dobre - Robert W. Baird & Co., Inc.: Yes. Thank you. Good morning, guys.
Wilson R. Jones - Oshkosh Corp.: Hi, Mig.
Mircea Dobre - Robert W. Baird & Co., Inc.: Just want to go back to access equipment orders, because they really are remarkable, both first quarter and this one, and I'm trying to juxtapose that versus kind of what I remember you guys talking about over the past couple of years in terms of replacement demand manifesting itself. Obviously, the pace here is running much quicker than what you initially anticipated. So, I'm trying to understand kind of what the delta is here. This is not maybe customers trying to anticipate higher equipment prices, then what is really happening here, are fleets expanding, is it that replacement is maybe being compressed in one year rather than two to three or how do we think about these strong orders really?
Wilson R. Jones - Oshkosh Corp.: I think it's a multiple of things, Mig. I think the construction demand, demand for equipment is up. I think rental penetration is certainly up. I think replacement demand in anticipation of a good construction season now that we're seeing getting into our normal construction season, I think that has created some demand. So it's a multiple of things. I don't think it's majority of one of those, I think, again it's kind of a balanced mix of several things.
Mircea Dobre - Robert W. Baird & Co., Inc.: But maybe put different, based on what you know of the industry and the visibility you get from your customers, is it reasonable for investors to expect continued growth from current levels as they look into the next couple of years as replacement demand theoretically continues to ramp up?
Wilson R. Jones - Oshkosh Corp.: Well, I think we've been positive on the future and we look at the construction outlook, we look at the replacement demand tailwind, we look at the broader application of use and then we listen to our customers and the commentary that we hear from them is positive. So going forward, I think the outlook that we believe and most of our customers do is that we have a good run ahead of us here.
Mircea Dobre - Robert W. Baird & Co., Inc.: Okay. I appreciate it. Lastly, I'm trying to understand some of these backlog dynamics. Would some of this backlog that's not subject to surcharges flow into the early part of fiscal 2019 or do you sort of expect to convert all of it in fiscal 2018?
David M. Sagehorn - Oshkosh Corp.: Mig, the vast majority will be sold in fiscal 2018. There might be a little bit spills over into 2019. I have to dig into that some more.
Mircea Dobre - Robert W. Baird & Co., Inc.: Okay. All right. I appreciate it. Thank you.
David M. Sagehorn - Oshkosh Corp.: Thank you.
Wilson R. Jones - Oshkosh Corp.: Thanks, Mig.
Operator: Thank you. Our next question comes from the line of Charley Brady with SunTrust Robinson Humphrey. Please proceed with your question.
Charles Brady - SunTrust Robinson Humphrey, Inc.: Hey, thanks. Good morning, guys.
Wilson R. Jones - Oshkosh Corp.: Hey, Charley.
Charles Brady - SunTrust Robinson Humphrey, Inc.: With respect to the commercial segment, I guess I'm a little curious why the guidance there isn't changed given some of the strength you've seen in the first half and what's your expectations as to why back half would be down particularly on the refuse collection vehicles, which that cap spending seems pretty strong, obviously was evident in the quarter? What's the expectation there in the second half for commercial?
David M. Sagehorn - Oshkosh Corp.: Sure. Charley, it's really a dynamic of last year more so than this year. If you recall last year, we did have kind of that order pause earlier in the year. We had some challenges ramping up with a very steep seasonal ramp coming out of that and then you saw sales in the second half of the year really jump up. Our view overall for the year is flattish to maybe up a little, but that it's driven by the dynamics of what happened last year as opposed to this year. We're back more into a normal cadence this year from a seasonality standpoint in terms of our production and sales. And last year was kind of abnormality from that standpoint.
Charles Brady - SunTrust Robinson Humphrey, Inc.: Okay. That's helpful. Thanks. And just switching gears on the defense segment, I think about a month ago there's – talking about DoD about the medium truck for the Marine Corps that you guys have built, 10 years or 15 years ago the MTVR and then looking at a life extension maybe that turns out to be an entirely new truck, but any comment on what you're hearing on that, is it potentially another platform out there that could go to bid in the next couple of years?
Wilson R. Jones - Oshkosh Corp.: Well, I would just say there's a good discussion going on around that. So Charley, nothing is real definite yet, but obviously, we've been the provider to the Marines and we're going to be in the middle of all those discussions, but now it'd be preliminary for us to comment.
David M. Sagehorn - Oshkosh Corp.: And Charley, I think it's pretty early in the process.
Charles Brady - SunTrust Robinson Humphrey, Inc.: Fair enough. Thanks.
Operator: Thank you. Our next question comes from the line of Seth Weber with RBC Capital. Please proceed with your question.
Seth Weber - RBC Capital Markets LLC: Hey. Good morning, guys. Most questions asked and answered, but can you – there was a lot of discussion around the access restructuring and I think I might have missed it, but is – are you still looking for the $15 million to $20 million benefit this year or does that push to next year or does some of that push to next year, can you just – I may have missed that sorry.
David M. Sagehorn - Oshkosh Corp.: Yeah, we're still largely in line – I mean the costs are a little bit higher than we previously thought and we have called out some of the inefficiencies associated with that. But other than that, we actually are expecting to see the majority of the benefits come through.
Seth Weber - RBC Capital Markets LLC: And then do you still – is there some carryover then to next year? I think what everybody is trying to figure out is what's the right incremental margin to use for next year, right so, just trying to figure out what the tailwinds here are going to be into next year?
David M. Sagehorn - Oshkosh Corp.: Yeah, from that item specifically, I wouldn't expect a big headwind, maybe a little bit of – as we get to a full year annualized on it, but not a significant jump year-over-year. And that's in line with what we've said previously as well.
Seth Weber - RBC Capital Markets LLC: Okay, but there is – there would be some carryover into the first half, I guess is the way to think about it though, of benefit...?
David M. Sagehorn - Oshkosh Corp.: End of the year, but again it's – that's not going to drive your incremental margin model next year.
Seth Weber - RBC Capital Markets LLC: Okay. And then maybe just on the balance sheet, share repurchases picked up here for the last couple of quarters. You should be in pretty good shape on the balance sheet by the end of the year. Any kind of additional thoughts on capital allocation, are you starting to look at maybe more M&A or is there anything you can – dividend increases, whatnot, anything you could share there?
David M. Sagehorn - Oshkosh Corp.: Sure, we're going to continue to follow the capital allocation strategy as we have for the past number of years. The easy one probably is on the dividend. We've stated that it is our objective to increase that annually and we typically would look at doing that in the fall of the year. As it relates to share repurchase and M&A, we continue to use the word opportunistic. I think that's a little bit of what you saw in the second quarter with our share repurchases, we view that as opportunistic. First quarter was more about offsetting a share creep through – with the incentive stock comp plans. But we'll continue to look, we always have our eyes and ears open from an M&A standpoint, but as we said in the past, it has to be the right deal, at the right price, at the right time. So, we aren't going to rush to do something and force ourselves to do something, we're going to do something when it makes sense and it's the right thing to do.
Wilson R. Jones - Oshkosh Corp.: And today we're on track with dividends to return 50% of our free cash to our shareholders. That's something that we always target and we're on track for that so...
David M. Sagehorn - Oshkosh Corp.: Yeah, between the dividends and the share repurchases.
Seth Weber - RBC Capital Markets LLC: Sure. Okay, guys. I appreciate it. Thank you.
David M. Sagehorn - Oshkosh Corp.: Thanks.
Operator: Thank you. Our next question comes from the line of David Raso with Evercore ISI. Please proceed with your question.
David Raso - Evercore ISI Group: Hi, good morning. The second half of year, you have your aerial margins down year-over-year. You mentioned the surcharge, we should kind of exhaust the backlog that doesn't have the surcharge in it by the end of this fiscal year. Assuming the way you put the surcharge in versus your costs, should we assume the margins can go back to growing year-over-year then fiscal 1Q of 2019, is that the way to think about it? Once we have things shipping from the backlog with the price increase, we should we able to expand margins right away?
David M. Sagehorn - Oshkosh Corp.: We – it's early yet for 2019 David, but the drag in fiscal 2018 from net material exposure, there is a little bit of a drag there, but it's not an excessive drag. That being said, under the assumption and it is our expectation that we will get full coverage of the surcharge in 2019 that should provide a little bit of a benefit from a – at least a sequential and we have to look at the mix year-over-year and the first quarter to determine what the incrementals would be, but yes, there should be a positive impact in 2019 from the surcharge.
David Raso - Evercore ISI Group: Yeah...
Wilson R. Jones - Oshkosh Corp.: But that benefit is to cover the materials, right?
David M. Sagehorn - Oshkosh Corp.: That benefit is to... (00:53:46).
Wilson R. Jones - Oshkosh Corp.: Material cost, yes.
David Raso - Evercore ISI Group: And that's what I'm assuming, (53:48) if it's just covering material costs that's not a positive for margins, right? But it's better than being below, right, priced below the material costs so...
David M. Sagehorn - Oshkosh Corp.: Correct. Yeah...
David Raso - Evercore ISI Group: Just so we kind of gauge – people don't want to wait too many quarters to where we get margin expansion again. So, starting the first quarter though you should be shipping the majority of your product with the surcharge, correct?
David M. Sagehorn - Oshkosh Corp.: Yes.
Wilson R. Jones - Oshkosh Corp.: Yeah, correct.
David Raso - Evercore ISI Group: And your labor issues start up, obviously getting new people's feet ready to go on ramping up and get them trained. We should start 2019 in a position of – there's always mix issues, I get it, but we should be back to where margins should be expanding if volumes are still expanding. Is that a fair assessment, I assume that's how you approach the surcharge?
Wilson R. Jones - Oshkosh Corp.: That's our plan.
David M. Sagehorn - Oshkosh Corp.: Yeah, our objective is to have these operational challenges behind us by the end of the fiscal year.
David Raso - Evercore ISI Group: And real quick defense, second quarter margins 11.2%, why the rest of the year at 9.5%? Why down sequentially?
David M. Sagehorn - Oshkosh Corp.: I think, a couple things there here, David, as we get into the second half of the year what you're typically going to see is our – call it, show activity picks up, so our SG&A ticks up in the second half of the year and then we also had some aftermarket kit sales that will not repeat in the second half here that benefited us a little bit earlier in the year.
David Raso - Evercore ISI Group: That's helpful. I really appreciate it. Thanks for the time today.
Wilson R. Jones - Oshkosh Corp.: Thanks, Dave.
Operator: Thank you. Our next question comes from the line of Ann Duignan with JPMorgan. Please proceed with your question.
Ann P. Duignan - JPMorgan Securities LLC: Hi. Most of my questions have been answered at this point, but can you talk a little bit about the mix of your business, mix of your backlog in particular in access, telehandlers versus scissors and booms and are both segments at above last cycle's peak or is it telehandlers been driven by oil and gas? Just some color on the mix there and what the real drivers are?
David M. Sagehorn - Oshkosh Corp.: Yeah. Ann, last quarter we did comment that we thought the mix was going to be a little heavier towards telehandlers. I don't think our view has changed from that standpoint as we saw the orders come in, in the second quarter. In regards to where we are versus prior peak between telehandlers and the aerial work platforms, we're going to – I'm going to have to take a look at some numbers and ask Pat to get back to you on that. I just don't know that off the top of my head.
Wilson R. Jones - Oshkosh Corp.: Yeah. And I think we did share, Ann, that the mix is – back half is heavier in NRC than IRC.
Ann P. Duignan - JPMorgan Securities LLC: Right. But is it fair to say that the telehandler backlog is being supported by oil and gas, is that fair?
David M. Sagehorn - Oshkosh Corp.: Not necessarily all oil and gas. Certainly...
Wilson R. Jones - Oshkosh Corp.: Res construction is supporting a big part of it, Ann.
David M. Sagehorn - Oshkosh Corp.: It's broad.
Ann P. Duignan - JPMorgan Securities LLC: Broad, okay.
David M. Sagehorn - Oshkosh Corp.: Yeah. I wouldn't overstate the oil and gas impact here.
Ann P. Duignan - JPMorgan Securities LLC: Okay. That's helpful. And then just a quick follow-up on defense, are your contracts in place, are they costs plus contracts, I mean do you get the opportunity to pass through any higher inflation or are they commercial contracts and how does a higher raw material cost impact the defense space as we move into 2019 and beyond?
David M. Sagehorn - Oshkosh Corp.: Yeah. Our contracts, Ann, generally are fixed price contracts, a multi-year fixed price and one of the things that the government allows us to do in exchange for committing to that multi-year pricing is, they allow us to put price escalators in each year when we bid and negotiate the contract. So that is built in. And historically, if you go back when steel spiked in 2004, steel spiked in 2008, we actually saw minimal impact on our defense segment as a result of that. Part of that's also driven by not only are we able to get a little higher price from our customer each year, we allow our suppliers when they quote to us to put in an annual escalation as well. So, it's historically proven to be a pretty effective mechanism for dealing with the material inflation environment that we see out there including spikes in steel like we have seen several times over the last decade.
Ann P. Duignan - JPMorgan Securities LLC: And nothing – there's nothing out there in this current environment that will make you believe that it would be different that cycle, is that kind of sort of what you're saying?
David M. Sagehorn - Oshkosh Corp.: At this time we do not anticipate to see anything significantly different.
Ann P. Duignan - JPMorgan Securities LLC: Okay. I appreciate that. Thank you.
David M. Sagehorn - Oshkosh Corp.: Yeah.
Operator: Thank you. Our next question comes from the line of Ross Gilardi with Bank of America Merrill Lynch. Please proceed with your question.
Ross Gilardi - Bank of America Merrill Lynch: Thanks for squeezing me in guys. I think you already kind of addressed this, but I'm just trying to understand your access sales are going back above prior peak, but your margins are like 400 basis points below prior peak. So can you help us bridge that at all, how much of that is steel versus pricing or in any key buckets you would cite there. Is your sort of medium to longer term margin outlook for access changed at all?
David M. Sagehorn - Oshkosh Corp.: Sure. Ross, the biggest driver and I think I mentioned this earlier, but if you look overall at our ability to get back to peak margins, it's going to be driven by three things. Pricing, what you're seeing in terms of material cost and overall mix. So, if you go back from 2014 through 2017, we went through the dip, part of that was driven by oil and gas, part of it was driven by the lower replacement demand and pricing did suffer during that time, through 2015 to 2017. We talked about it, I think others were talking about similar type things. So, one of the things that we need to do to get back there is, we need to – we do need to see a better pricing environment. Wilson talked about what we're looking at for 2019. So I think we're in a position where we're going to see some of that start to come back. Now, a lot of that's driven by what we're seeing on the cost side. So, the steel spike that we're currently experiencing, we didn't have that, we weren't dealing with that in 2014 when we were at our prior peak margins. And then mix, that's going to be a little bit of a wildcard based on what the rental companies see in terms of the demand from their customers. So again those three main drivers are going to determine our ability to get back there. Do we think we can, yes, do we think it's going to happen overnight, no, we don't think it's going to happen overnight, but we do believe the opportunity is out there over time to get back to those prior peak margins.
Wilson R. Jones - Oshkosh Corp.: And I think on your outlook question Ross, we're optimistic, I would say our own customer is optimistic, you look at the construction outlook, this replacement demand tailwind, broader application use in North America and then you add in Europe has stabilized and performing well and then the opportunities we have with continued adoption in Asia. We really believe there's a good reason to be optimistic about access going forward.
Ross Gilardi - Bank of America Merrill Lynch: Got it. Thanks. Thanks for squeezing in me guys.
Wilson R. Jones - Oshkosh Corp.: Thank you, Ross.
David M. Sagehorn - Oshkosh Corp.: Thanks, Ross.
Operator: Thank you. Ladies and gentlemen, at this time I would like to turn the conference over to Wilson Jones for closing comments.
Wilson R. Jones - Oshkosh Corp.: I want to thank all of you for your interest in the Oshkosh Corporation. We have a team here that's dedicated to exceeding customer expectations and delivering strong shareholder value. We look forward to speaking to you on the road in Oshkosh, we're doing an investor conference. Thanks again for your time. Have a good day, everyone.
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.